Operator: Good morning, everyone. Welcome to the Dundee Corporation First Quarter 2021 Results Conference Call. Listeners are reminded that certain matters discussed in today's conference call, or answers that may be given to questions asked, could constitute forward-looking statements that are subject to risks and uncertainties relating to Dundee Corporation's future financial or business performance. Actual results could differ materially from those anticipated in these forward-looking statements. The risk factors that may affect results are detailed in Dundee Corporation's first quarter 2021 Management’s Discussion & Analysis and other periodic filings and registration statements. You can access these documents under the company's profile at sedar.com. I'd like to remind everyone that this conference call is being recorded today, Thursday, May 13, 2021. On this call, management of Dundee Corporation will be quoting dollar figures. All figures are in Canadian dollars, unless otherwise noted. Participating on this call will be Jonathan Goodman, President and CEO of Dundee Corporation; and Bob Sellars, Executive Vice President and CFO of Dundee Corporation. At this time, I would like to introduce Mr. Jonathan Goodman to provide an update on the quarter. Please go ahead, Mr. Goodman.
Jonathan Goodman: Thank you, operator. Good morning, everyone, and thank you for joining us today. With me on the call, as the operator said, is Bob Sellars, Dundee's Executive Vice President and Chief Financial Officer who will go over our financial performance. As well, we have Lila Manassa Murphy on the call who is our incoming CFO officially starting tomorrow. Dundee Corporation released its first quarter of 2021 financial results at market close yesterday. You can find our consolidated financial statements and MD&A on the Dundee Corporation Web site or under our profile on sedar.com.  Turning to Slide 4. In 2021, Dundee Corporation continued to execute on its strategy of accelerating its transformation into Dundee 2.0, bringing the company back to its roots as a mining-focused, active investor delivering long-term sustainable value for its shareholders and partners.  There are three main strategic components that are critical to making this transformation a reality. They are one, doing more private equity-style mining deals and setting up our mining group for continued profitability; two, rationalizing our portfolio of legacy investments and operating subsidiary companies; and three, streamlining our capital structure and reducing our corporate G&A and cash overheads. In Q1, we continued to make progress on all three of these objectives.  Moving to Slide 5. In Q1, our mining group, Dundee Goodman Merchant Partners was engaged on a number of transactions and advisory mandates. Our team was active in growing our mining investment portfolio and increasing our position in several exciting new investments.  We grew our Saturn Metals to 18.3%. Saturn owns a significantly undervalued highly prospective gold project in Western Australia and hopes to continue with near surface, low grade gold deposits that exhibits the potential for a very long life asset at a low operating time.  We made an additional $14.1 million investment in Big River Gold to increase our position to 19.38%. Big River is developing the fully permitted plus 2 million ounce Borborema Gold deposit in Brazil. Big River are recasting their feasibility study number to take into account expanding from 2 million to 4 million tons per year early in their mine life.  We exercised warrants to grow our stake in Maritime Resources to 19.9%. Maritime is developing the Hammerdown Gold Deposit in Newfoundland, which we believe will have a low startup capital cost, a quick payback and have significant exploration upside. We also feel they have a great management team in place.  We also increased our position in Moneta Porcupine Mines to approximately 7%. Moneta has an exciting deposit in the Timmins, Ontario mining camp that has more than 8 million ounces of gold and we believe there's significant potential to grow this substantially.  Subsequent to quarter end, we increased our stake in Western Australia gold mine in Ausgold from 7% to 9.9%, and a placement participated in by DGMP, Dundee Goodman Merchant Partners. In April, Ausgold updated their gold resource by 28% to 1.54 million ounces and we believe they can continue to unlock significant value through further exploration.  Also subsequent to quarter end, lastly, we acquired approximately 10.5% of Magna Mining, a base metal particularly nickel and as well precious metals, mostly Platinum Group Metals, who have a large unexplored land package in the world class Sudbury Mining District that is highly prospective for nickel, copper and PGM.  We're excited to have a number of high-quality, well run investee companies in our portfolio, who are advancing impressive deposits to the construction phase moving closer to cash flow generation. We are committed to working with these companies along the way as a trusted advisor that can share their demonstrated knowledge and expertise across all aspects of the mining business to ensure that these projects capture as much upside and eliminate as much risk as possible. Looking at Slide6. Overall, our mining investment portfolio continues to perform well. After launching our New Venture Equities Fund, a venture capital mining fund one year ago, the market value of the New Venture Equities Fund appreciated 77% year-over-year from 12.7 million on March 31, 2020 to 22.5 million on March 31, 2021.  During Q1 2021, Goodman & Company, Investment Counsel recognized financial services revenue of $700,000 from the services provided by DGMP, a division of Goodman & Company, Investment Counsel, consisting of finders and advisory fees compared to no financial services revenue in the year ago period.  GCIC’s assets under management decreased by 5% from $84 million at year end 2020 to 80.6 million at the end of Q1 2021. CMP raised an additional 21.2 million as a result of the successful launch of GCIC’s most recent Limited Partnership, offset by redemptions of 18.6 million and market depreciation of 6.2 million as valuations for metals and mining stocks pulled back from their year-end highs.  As part of our mining-focused strategy, we will continue to look at ways to generate cash flow attracting third party capital to deals can help us generate more fee business. With that as scale, we also have the opportunity to increase our participation in deals we like and grow our positions in these companies.  Turning now to Slide 7. Rationalizing our non-core legacy portfolio of operating companies remains a top priority, and the one that we have resolved to more aggressively accelerate in 2021. As I have said before, communicating our progress on these deals is challenging, since you cannot announce anything until it is complete. That said, I am pleased to say that in Q1 2021, we advanced the divestitures of several non-core assets. Of particular note is Blue Goose. For Blue Goose, we are currently in discussions with potential buyers for the sale of the beef division. As a result, we have reclassified our beef division and its assets and liabilities as assets and liabilities held for sale in our financials. Also operating results of the division are now classified as discontinued operations in the consolidated statements of operations.  Subsequent to quarter end, we expect to monetize our DPM common share purchase warrants, which were issued in May 2020, which will bring in more cash to the company. I want to reiterate that while we are committed to accelerating the rationalization of our legacy portfolio, we take asset allocation seriously. It is paramount that we minimize the operating companies’ cash that’s on the business wherever possible, while we engineer orderly, professional exits from these non-core business lines.  Moving to Slide 8. We also took several steps to streamline our capital structure and lower our G&A in the first quarter. In January, we announced the results of our completed substantial issuer bid, which was initially announced in November 2020. We confirmed the purchase of approximately 14.3 million Class A subordinate voting shares of the company at a price of $1.40 per share for 20.3 million. This reduced our Class A shares issued and outstanding by 14.3%.  Also in Q1, we announced the normal course issuer bid to purchase for cancellation up to 10% of the public float on three share classes; the company's Class A subordinate voting shares, as well as cumulative five-year rate reset first preference shares Series 2 and Series 3.  During the quarter, the company purchased a little over 1 million Class A shares at $1.42 per share for around $1.5 million pursuant to the normal course issuer bid. At the current share prices, these transactions are prudent uses of the capital and good investments. They also align with our goal of returning cash to shareholders when appropriate.  Turning to Slide 9. I want to make it clear that we are strongly committed to reducing our cash overheads in 2021 to a level that's more sustainable and more closely aligning the interest of management with our shareholders. In the first quarter of 2021, our G&A costs, excluding stock-based compensation, was approximately 9.6% year-over-year.  We remain laser focused on driving our run rate cash G&A costs down even further. We have identified a number of areas where we can reduce these costs, including office space, insurance and technology and communications. And we'll be more aggressive on this front in the coming months.  Before I hand the call over to Bob Sellars to provide an overview of our financial results, I'd like to take a moment to thank Bob who is retiring tomorrow. Bob's retirement comes after more than 20 years of dedicated service to the company. You have been a committed member of our senior management team and a valued partner. On behalf of all of us, thank you. And I wish you all the best in your retirement.  I would also like to welcome Lila Manassa Murphy who will be appointed to the role of CFO effective tomorrow. Lila has served on Dundee’s Board since 2018. She will be resigning from the Board tomorrow to take on the new role. We believe Lila is an excellent fit, and her skill set and experience will be invaluable in helping us realize our transformation to Dundee 2.0.  And with that, I'd like to turn the call over to Bob Sellars for a review of our financial performance. Bob?
Bob Sellars: Thank you, Jonathan. I will speak to some of the recent developments and reiterate some of the things Jonathan said. On January 11, we completed a $20 million substantial issuer bid for DC.A shares at $1.40 a share. On February 22, we restarted the NCIB for the common shares, the Series 2 and Series 3 preferreds. So far we have bought approximately 1.1 million DC.A shares at an average price of $1.42.  We have had 639,000 warrants of Dundee Precious exercise for proceeds of 5.1 million and the remaining 3.5 million warrants will be exercised today at a price of $8. The market value of publicly traded securities increased to 121 million as of March 31 from 109 million at December 31, reflecting the net acquisitions to the portfolio. It also affected the Dundee Precious Metals share price decrease from $9.15 at December per share to $7.59 at March 31.  In the quarter, United Hydrocarbon reported a 9.6 million loss on the carrying value of its royalty and contingent oil consideration, as we increased the model to the recognition of increased time to get to first oil. We continue to monitor the effect of global oil markets on future carrying value as well as the ongoing changes in operations at Delonex and within Chad. On our COVID front, Dundee Corporation's employees continue to work from home with little disruption to operations.  Some comments regarding the first quarter. The first quarter pre-tax loss from continuing operations was 19.5 million compared to a pre-tax loss of 184 million in 2020. The Q1 loss on the UHIC royalty and including operations at UHIC was 9.8 million compared to 117.5 million loss in 2020. The corporation's carrying value to the royalty, contingent consideration, cash and receivables is now approximately 31 million.  The portfolio had a valuation decrease of 11.2 million in Q1, primarily from the fair value decrease of 6.5 million in Dundee Precious and 3.6 million decrease in [indiscernible]. As Jonathan mentioned, we are now treating Blue Goose Cattle as assets held for sale, so it was recorded on our financials as discontinued operations. Blue Goose had a net loss of 4.4 million in the quarter compared to a 2.7 million loss in 2020, primarily the change in fair value of cattle.  The other subsidiary such as GCIC, Dundee Sustainable, AgriMarine and Dundee 360 had a combined 1.5 million loss compared to approximately 1 million loss in Q4 2020, and a 3 million loss in Q1 2020. The equity accounted gains were 574,000 in Q1 compared to a 1.1 million loss in the prior year, and was primarily a gain at Android.  Q1 consolidated G&A remained consistent with the prior year at 6.7 million. And head office G&A, excluding stock-based comp, for Q1 were 3 million compared to 3.3 million. Some other items are at quarter end, we had approximately 66.5 million in corporate cash, down from 115.2 million at year end reflecting the 21.5 million Dundee.A, SIB and NCIB as well as continued investing in the mining portfolio.  The remaining DPM warrants will generate approximately 32 million post March 31 to May 13, and we have received 5.7 million thus far. We have had no further significant developments with the CRA and continue to have 12.8 million on deposit with them regarding the 2014 to 2016 tax year, and this amount is separately disclosed on the balance sheet.  I would also like to say to Jonathan that it's been a pleasure working with you the last three years at Dundee Corp. and previously in our time together in Dundee Capital Markets. And I wish all the best to Lila in her new role.  So that concludes my comments. Back to you, Jonathan.
Jonathan Goodman: Thank you very much, Bob. Turning now to Slide 15. Dundee Corporation’s transformation to Dundee 2.0 continues to gather positive momentum. The progress we have made in the past couple of quarters against our key strategic initiatives is bringing our vision into Dundee 2.0 into focus. While we've made advancement on all fronts, there's still more work to be done. I want to accelerate the company's transformation by more aggressively structuring and focusing our business to support continued growth and profitability.  Before we open up to the Q&A, I'd like to reiterate Dundee’s main long-term corporate priorities for the remainder of the year. They are continue to identify and de-risk attractive mining investment opportunities and doing more private equity-style mining deals; raising more money for the CMP structure; reorganizing DGMP into a dealer group and private equity-style group to position the dealer group for immediate profitability; aggressively accelerating the rationalization of our non-mining legacy investment portfolio and continuing to reduce corporate G&A expenses and bringing down cash overhead to align the interests of management more closely with shareholders. These initiatives will allow us to more efficiently allocate our capital, focus the business on where we are strongest, and can achieve the best returns and put us in the best position possible to deliver and maximize value for all of our shareholders, stakeholders and partners. I would like to thank our shareholders and partners for continued support and confidence in our team.  I would also like to thank the entire Dundee team for the extra work they continue to put in operating in this global pandemic environment. I look forward to further updating the market on our progress next quarter. Have a great day. And now operator, I'd like to open the line for questions. I’d also comment that we have Lila Manassa Murphy on the phone if anybody wants to ask a question of our incoming CFO.
Operator: [Operator Instructions]. Your first question comes from the line of Brandon Moyse with Stornoway.
Brandon Moyse: Hi, Jonathan. Hi, Bob. How are you?
Jonathan Goodman: Hi, Brandon. How are you?
Brandon Moyse: Good. On your March 31 conference call that you held for Q4, you said you had 67 million of corporate cash on hand at that time. In the statements released yesterday, you reported 52.5 million of corporate cash as of March 31. Can you explain that difference?
Bob Sellars: Yes, sure, Brandon. We moved cash from Dundee Corp. to Goodman Investment Counsel for the ability to do investment banking deals, but Goodman Investment Counsel wholly on sub. I combined that as continuing as being part of our corporate cash, because we can move it out of GCIC anytime we want.
Brandon Moyse: Okay. Thanks. But the 52.5 million of corporate cash you've reported from March 31, that is cash held at parent?
Bob Sellars: Well, it’s not all [ph] at the parent’s bank account. There's 14.0 million held at GCIC's bank account, which is also at Bank of Nova Scotia. So it's the same combination of accounts.
Brandon Moyse: Okay. Thank you. Do you have any investment or financing commitments you haven't yet funded? And if so, what would those be?
Jonathan Goodman: Nothing significant. I think there's some small deals that we've participated in, but nothing, nothing major that hasn't been announced. Bob, is anything that --?
Bob Sellars: I'm not aware of any significant commitments.
Brandon Moyse: Okay. Thanks. Just a couple more questions. What was the use of proceeds? And what did you get for the 9 million of cash sent down to Goodman & Company in Q1?
Bob Sellars: Well, the use of proceeds -- Goodman & Company is a regulated entity. And so as part of the Dundee Goodman Merchant Partners mandate, it was doing some investment banking deals. So you needed regulatory capital to do a buyout deal and to maintain its regulatory requirements. So when we moved the cash down to do that investor banking, we just left the cash there. But now the cash is not being utilized, because we don't have any investment banking deals sitting in GCIC at this time.
Jonathan Goodman: The deals we did have already closed.
Brandon Moyse: Got it. So there's still that 9 million of cash there, but no obligation or regulatory requirement.
Jonathan Goodman: Yes. We can move it back.
Brandon Moyse: Okay. And just lastly, as we understand that the agreement between Delonex and Chad, so the PSC expires in June 2023. Delonex, as you’ve disclosed and as we've seen, has not been spending capital [indiscernible] that sales process since last year. On what basis are you valuing the royalty interest with the assumption that there will be first oil in 2025?
Jonathan Goodman: The first thing that Delonex did when the pandemic started is put the asset into force majeure, which was accepted by the country and I believe it still is in force majeure, because COVID made it almost impossible to do business. So whatever date you have are going to automatically move forward as the force majeure kind of halted in time. Bob, you can talk about the valuation.
Bob Sellars: Yes. We pushed the first oil out to 2025, because even though they contract at 2023, it keeps continuing to get pushed out through force majeure, and meeting the requirements for the government and Chad is that you have a substantial plan and a spending plan on getting that oil out of the ground. And so the company still believes that that's going to meet its target with the government.
Brandon Moyse: I see. Okay. Thanks very much. I appreciate your answers.
Operator: Your next question comes from the line of Brett Reiss with Janney Montgomery.
Brett Reiss: Hi, Jonathan. Hi, Bob. Hi, Lila. If you are successful in selling Blue Goose beef, what remains with Blue Goose and with what remains, is that a drain on cash still? And if so, ballpark what are we looking at there?
Bob Sellars: I can answer this, Jonathan, if you want. There shouldn't be anything left at Blue Goose beyond a few tag ends of wrapping up the operations. And we have really effectively two staff at corporate head office which we will address and then move to other roles. And that's it. There is -- on the balance sheet, you'd see that there is some debt up above that wasn't continued -- wasn't considered continued or discontinued assets or liabilities held for sale, but those would be paid off on the proceeds from the sale of Blue Goose Cattle.
Brett Reiss: Okay. And the land that periodically would be talked about, that will be part of the Blue Goose beef sale if it's consummated?
Bob Sellars: Yes.
Brett Reiss: Okay.
Bob Sellars: It's the cattle and all the land in the ranches.
Brett Reiss: Okay. And then the mining investments that we've made have great potential and they're very exciting. But the gestation period before they bear fruit, would you say it's two or three years? Is that a fair statement?
Jonathan Goodman: So what do you mean by gestation period again?
Brett Reiss: Well, the Brazilian mine, before they take gold out of the ground, it's probably another couple of years.
Jonathan Goodman: They have to -- what that mine has to do, to be specific, is their next financing will likely be a financing to raise the capital to build the mine. And then from there, yes, it will probably be somewhere between a year and a half to two years till they're producing cash flow.
Brett Reiss: Right. So in the interim, it will pay the bills by continued cash that comes in from the opportunistic unwinding of the legacy portfolio.
Jonathan Goodman: Well, yes, and potentially asset sales in the portfolios that we have, just because they won't yet be producing cash flow. We’re still consultants.
Brett Reiss: Right.
Jonathan Goodman: And the 32 million we're getting on the DPM warrant exercise.
Brett Reiss: Right. Any progress on the monetization of the Torex position?
Jonathan Goodman: Nothing to report as of yet, but we believe the company is still performing well. And we hope to have something to report in the next -- before year end.
Brett Reiss: Great. Thanks for taking my questions. And Bob, best wishes to you.
Bob Sellars: Thanks, Brett. We’ll talk soon.
Brett Reiss: Right.
Operator: [Operator Instructions]. There are no further questions at this time.
Jonathan Goodman: Okay. Well, I want to thank everyone for participating. And certainly if people have questions that they haven't thought of, please don't hesitate to get in touch with us and we'd be happy to answer. And wish everyone well. And once, again, thank you, Bob.
Bob Sellars: Thank you. Thank you, John.
Operator: Ladies and gentlemen, this does conclude today's conference call. You may now disconnect.
Jonathan Goodman: Thank you.